Operator: Good afternoon, everyone, and welcome to NIKE, Inc. Second Quarter Fiscal 2026 Conference Call. You'll find it at investors.nike.com. Leading today's call is Paul Trussell, VP of Corporate Finance and Treasurer. I'd now like to turn the call over to Paul Trussell. Thank you, operator.
Paul Trussell: Hello, everyone, and thank you for joining us today to discuss NIKE, Inc.'s second quarter fiscal 2026 results. Joining us on today's call will be NIKE, Inc. President and CEO, Elliott Hill, and EVP and CFO, Matt Friend. Before we begin, let me remind you that participants on this call will make forward-looking statements based on current expectations, and those statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in NIKE's reports filed with the SEC. In addition, participants may discuss non-GAAP financial measures and nonpublic financial and statistical information. Please refer to NIKE's earnings press release or NIKE's website investors.nike.com, for comparable GAAP measures, and quantitative reconciliations. All growth comparisons on the call today are presented on a year-over-year basis, and are currency neutral unless otherwise noted. We will start with prepared remarks and then open the call for questions. We would like to allow as many of you to ask questions as possible in our allotted time. So we'd appreciate you limiting your initial question to one. Thank you for your cooperation on this. I'll now turn the call over to NIKE, Inc. President and CEO Elliott Hill.
Elliott Hill: Thank you, Paul. Let me start by thanking all of you for joining on the eve of a holiday week here in the United States and many parts of the world. And with that, let me also recognize a NIKE team that's leaving nothing on the table right now. When you work in retail, the holidays don't mean a break. When you work in sport, you often say that sport never sleeps. So when you work at NIKE, you're then the sick of an incredibly busy time. With that in mind, I want to extend a special and heartfelt thanks to my NIKE teammates. Thank you for your continued commitment, passion, and determination. And thank you for delivering another quarter of steady progress and building momentum. Fiscal year 2026 continues to be a year taking action to rightsize our classics business, return NIKE Digital to a premium experience, diversify our product portfolio, deepen our consumer connections, strengthen our partner relationships, and realign our teams and leadership. And I'd say we're in the middle innings of our comeback. We started with the win now actions, which was our immediate response to our biggest challenges and opportunities in our culture, product, storytelling, marketplace, and winning on the ground. And now our sport offense is the accelerator of our win now actions. It's how athlete-centered innovation travels across and through every country, and channel to drive growth. Our focus on sport by brand is the engine of our growth. Our global marketplace is the amplifier. And it is our sport offense that connects the two. Said another way, our growth will come from sport, athletes, product innovations, sport moments, and will be scaled through countries, channels, and accounts. Turning to the quarter. I'd frame up the results as slightly better than we had anticipated ninety days ago, and while we're driving progress through WinNow, we're nowhere near our potential. I see three themes that give a better picture of where we stand right now. The first theme is that our sports teams are quickly finding the rhythm in the new sport offense. While rightsizing our classics, we're building a more diverse product portfolio gaining the most traction in our performance business, which validates that we've got the right structure to drive a relentless flow of innovative product across our unmatched opportunities. The second theme is that we're building a healthier base for top-line growth. The NIKE brand grew this quarter. And the mix was strong. We delivered 8% wholesale growth, elevated the experience in key NIKE stores in nike.com, and had fewer days of promotion. These are all positive signs. The third theme is that our comeback continues to move at different speeds. It won't be a straight line. But we're acting decisively to accelerate the lagging areas with China at the top of that list. At year-end, it's clear how important it is to stay closely connected to what's happening on the ground. From intern to CEO, and every role I've held in between, I've felt that way. Which is why as you likely saw this quarter, I announced a change in my leadership team. All geographies will now report directly to me. I'm confident this change will result in accelerating our win now actions by allowing our geography GMs to more closely shape our strategy, drive faster decisions, and influence investments. The geography that is leading the way for NIKE right now is North America. As our largest business, that's where much of our focus has been. With North America, we're working with the most diverse wholesale landscape which gives us several strategic partners to segment and differentiate our multi-brand, multi-sport, and multi-price point portfolio. The team has done an excellent job of reconnecting with partners and getting sharper on the consumers we serve, and those that we seek to serve. This quarter, that approach led to over 20% wholesale growth in North America, with meaningful growth coming from existing partners. Our North America marketing team is also finding the right balance of inspiring through big teen moments, like the Dodgers World Series campaign after their win, or at the Chicago Marathon. Where we supported everyone from everyday runners chasing personal best to Connor Mantz shattering an American marathon record that stood for twenty-three years. North America is driving a healthy repeatable offense, and showing us what winning looks like. It's a great signal for our future success in other geographies. In Greater China, we highlighted last quarter that we were facing a longer road to a healthier business. We've been implementing the WinNow action in our key cities of Beijing and Shanghai, leading with more storytelling of our product innovations, editing our assortments, and elevating the presentation of those assortments in targeted doors. What we've done is a start. But it's not happening at the level or the pace we need to drive wider change. The next step is to further adapt our approach to fit China's unique monobrand footprint and digital-first marketplace. The reset requires a fresh way of thinking from our NIKE teammates, and our NIKE store partners and it will take time. Over the years, we established our premium position in market share there because the Chinese consumer believes in our ability to innovate. And inspire them through sport, I'm confident we'll get back to fulfilling that promise. China continues to stand out as one of the most powerful long-term opportunities in sport. That has not changed. Expect to hear, see, and feel much more about how we'll manage the China marketplace differently this fiscal year and beyond. Both EMEA and APLA are geographies that are led through distinct influential countries and key cities. So we're moving quickly to resourcing our teams on the ground including sales. They're the ones who deliver locally relevant assortments, elevate the presentation of those assortments, fuel product seating, and build local relationships, create meaningful stories and consumer connection, and ultimately drive profitable and sustainable revenue in both wholesale and direct. EMEA activated their sport offense on December 1. So they just started rehiring these critically important revenue-generating roles in key countries. I'm locking arms with the leaders of our geographies and with Matt who now leads sales and NIKE Direct to elevate the way consumers experience our brand. I know what it looks like when it's successful. I can see the upside. It's a brand by brand, sport by sport approach, paid off in a partner by partner. City by city, high street by high street, mall by mall approach. And every detail matters. Next, I'll share some color on how the sport offense is fueling a more diversified product portfolio through footwear, apparel, and equipment, and up and down price points. Our teams are determined to deliver a consistent product innovation pipeline. In January, NIKE Running will build off of the strong start of our new stability shoe, the Structure 26, with the introduction of the structure pop plus. Running grew by over 20% for the second quarter in a row in Q2. It's up double digits in every channel, including NIKE Direct. Also in January, we'll debut NIKE Mind, a new footwear platform that will help athletes prepare for performance, and competition which we see as a new dimension to the NIKE training's offense. We introduced NIKE Mind along with three other new innovations, platforms, in October. One of them is the new platform that traps air for warmth in an ACC jacket. The jacket inflates from a shell to a puffer based on the warmth needed. The Thermofit Air Milano jacket will debut at the Winter Olympics in February. Also in February, at the NBA All-Star Game in LA, you'll see an example of how our three basketball brands and their product lineups will come together under the sport offense. The Swoosh, the Jumpman, and the Star Chevron. Have a unified creative feel and merchandising approach with Foot Locker in LA. And we believe that it has great potential to be scaled. Our NIKE skims collection will launch internationally in EMEA and APLA in the same time frame, following a successful rollout in North America. NIKE football, the deeper investment in World Cup starts now. This quarter, we brought a fresh perspective to the culture of the game in a T90 collaboration with Palace, and with our Hollywood Keepers sportswear collection. And in March, our athletes will begin wearing our new apparel platform Aerofit. In their national team kits. Aerofit is like air conditioning for the body flowing air through the garment unlike any previous performance apparel. The innovation platform will scale across several sport dimensions, in coming seasons. Overall, wholesale partners are very confident in our NIKE football product. Booking units are nearly 40% higher than World Cup 2022. To help sell food, the commitment we'll refresh over 100 NIKE Direct and 1,400 partner doors around the world. And our marketing team is making significant investments to inspire football fans everywhere. All of these new concepts will come to the consumer in the back half of the year. As a result, our order book is improving season on season. Through the sport offense, we're on our way in product. But as I've said, near-term investments to clean up and elevate the marketplace have put real pressures on margins. Tariffs have also obviously added a significant headwind to overcome. I want to state it very clearly. Margin expansion is a top priority for me and my leadership team. While it will take time, we see the path back to double-digit Aegion EBIT margins for NIKE, Inc. That formula includes a multi-branded and diverse product portfolio, that is constantly refreshing and bringing in newness and seeking to drive value out of every relationship we have in the marketplace. It also requires us to be bolder and more creative in how we operate. I made another change within my leadership team this quarter. Asking Venkatesh Alagirasami to be in the role of our Chief Operating Officer. He and his team will look end to end to ensure technology is fully integrated across the company and how we create, plan, make, deliver, and sell our world-class innovations. We see significant opportunity to get our core operations running more efficiently and more profitably. I look forward to sharing more in the coming quarters. With that, I'll turn it over to Matt to go deeper into the quarter and then offer some closing thoughts. Before we take your questions.
Matt Friend: Thanks, Elliott, and happy holidays to everyone on the call. Our second quarter results demonstrated the resilience of our portfolio. With modest year-over-year reported top-line growth despite managing headwinds from the actions we have taken to reposition our business. As I look back on where we are, one year from Elliott joining the company and moving forward with our WinNow actions, our business is in a better position. Sport dimensions represent a larger mix of the portfolio. Led by running, and we are seeing momentum build in other sports. The classics footwear franchises are on track to decline from peak levels by more than $4 billion by fiscal year-end. Wholesale has returned to growth. With a growing order book globally in both spring and summer. NIKE digital has reduced promotional activity and is operating more strategically in sync with our partners. And inventory is in a healthy and clean position in North America and EMEA. While we are encouraged by all of this, as we have said, our progress will not be linear. As each brand, sport, and geography is on a different timeline. And we continue to read and react every day in service of the long-term health of our brands. We highlighted last quarter that it will take more time to return to healthy growth in Greater China and Converse. And we expect headwinds to continue for the balance of the fiscal year. There are also puts and takes across EMEA and APLA. Meanwhile, North America and running stand out again this quarter. And we are growing more confident in our ability to sustain the momentum as we look forward. Being in the middle innings, as Elliott referenced, also means it will take time for the actions we have put into place to change the trajectory on EBIT margins. We have been navigating transitory headwinds to margin due to our WinNow actions. And shifts in the business. Including product and channel mix, and continued inventory liquidation. As we highlighted last quarter, we are also navigating new structural headwinds from the $1.5 billion of annualized incremental product costs due to higher US tariffs. This represents a gross headwind of approximately 320 basis points to gross margin. In fiscal 2026. And while we have begun to take actions to reduce this to a net impact of approximately 120 basis points, it is still a significant factor impacting our near-term EBIT margins amidst the turnaround in a very dynamic operating environment. All in all, we have made meaningful progress through our five win now actions. Yet there is more work to do and our teams are hustling. For this quarter, revenues were up 1% on a reported basis. And flat on a currency-neutral basis. NIKE Direct was down 9% with NIKE Digital declining 14%. And NIKE stores down 3%. Wholesale grew 8%. This included a top-line headwind of approximately $550 million from the reduction of our Classics franchises. Down over 20% versus the prior year. This means our currency-neutral revenue grew 6% excluding the impact of this headwind. Gross margins declined 300 basis points to 40.6% on a reported basis primarily due to increased product costs due to higher tariffs in North America as well as inventory obsolescence in Greater China that was not contemplated ninety days ago. SG and A was up 1% on a reported basis year over year, driven by higher brand marketing expense, partially offset by lower operating overhead. Relative to expectations, SG and A was lower due to operating overhead savings. Reflecting the team's continued focus on disciplined cost management. Our effective tax rate was 20.7%, compared to 17.9% for the same period last year. Primarily due to changes in earnings mix. Earnings per share was 53¢. Inventory decreased 3% versus the prior year. With units down high single digits. In North America and EMEA, which represent almost three-quarters of our business, we have returned to a healthy marketplace. We still have work to do in Greater China, parts of APLA, and Converse. Now I will turn to the geographies. And once again focus my remarks on specific context and insights of our WinNow Progress. In North America, Q2 revenue grew 9%. NIKE Direct declined 10%. With NIKE Digital down 16%. NIKE stores were down 2%, Wholesale grew 24%. And EBIT declined 8% on a reported basis. As Elliott said, North America is our best example of executing our win now actions. And we are taking the learnings from their playbook to execute across all other geos. Momentum is extending beyond running into additional sports including basketball and training. It relates to the North America marketplace, wholesale delivered strong growth in the quarter. While the quarter certainly benefited from liquidation to value channels, as we cleaned up the marketplace, we also saw a balanced contribution of growth from both new and existing partners. North America also made additional progress on repositioning NIKE Digital to a more premium representation of the NIKE brand. With fewer days of promotion, lower markdown rates, and increased demand at full price. Nike.com posted its best Black Friday ever this year. Partially driven by strong sell-through of the Jordan Black Cat launch. Growth in the quarter was driven by running, kids, basketball, and training. With running delivering high double-digit growth, in NIKE-owned stores, NIKE digital, and wholesale. Sportswear saw sequential improvement up low single digits in the quarter. With classic footwear franchises declining approximately 20% year over year. Inventory declined mid-single digits versus the prior year. With units down double digits. Closeout units declined double digits, and the mix is very healthy. Last, I want to point out that North America gross margins only declined 330 basis points versus the prior year. Despite 520 basis points of impact from new US tariffs. This gives us confidence that our win now actions are working, profitability is recovering. And we are on the path back to sustainable, profitable growth. EMEA, Q2 revenue was down 1%. NIKE Direct declined 3%. With NIKE Digital down 2%, and NIKE stores down 5%. Wholesale was flat. EBIT declined 12% on a reported basis. EMEA has maintained a healthy marketplace. Although promotional activity has been heavier than expected. We saw growth in Central and Eastern Europe and The Middle East. Offset by slight declines in Western Europe. In Q2, our performance business continued to build momentum, driven by double-digit growth in running, We also saw growth in training and sportswear. Sportswear growth was driven by apparel, with footwear flat, as a mid-twenties percent decline in classic footwear franchises was offset by growth in Air Max, and the look of running styles. Inventory grew double digits versus the prior year. With units flat, and the spread primarily due to foreign exchange rates. Closeout mix in the geography is healthy. In Greater China, Q2 revenue declined sixteen NIKE Direct declined 18%. With NIKE Digital down 36%. And NIKE stores down 5%. Wholesale declined 15%, EBIT declined 49% on a reported basis. Our priority in Greater China is to create greater brand distinction through sport and innovation. Leveraging deep local insights in a premium more consistently managed integrated marketplace across both physical and digital channels. Over the past several seasons, we have faced consistent challenges with declining store traffic softer in-season sell-through rates, and higher levels of aged inventory across the marketplace. Our brands have consistently been off-price for consumers. Especially in digital. Affecting our premium positioning across the entire integrated marketplace. These challenges resulted in a higher mix of off-price sales with higher markdowns. Higher sales-related returns, higher wholesale discounts, and higher obsolescence charges to clean marketplace inventory levels. This cycle has had a significant effect on the profitability of Greater China. This quarter, we took the following actions in China. We continue to obsess our initial NIKE store pilot. Which delivered encouraging results this quarter. With better traffic, and comp sales growth relative to trends across the broader fleet. We focused on sport, combining new product innovation with elevated retail presentation. And we saw running continue to grow. In the quarter. We were less promotional during 11/11, resulting in an approximate 35% decline versus the prior year. In line with our plans. We accelerated returns of aged inventory owned by partners and wrote off both partner and NIKE inventory in the quarter. We reduced NIKE inventory by mid-teens versus the prior year. And by 20% in units. And we reduced our sell-in plans for spring and we cut our buys for summer. To improve sell-through and full-price realization. We will need to make further shifts in the integrated marketplace to break the cycle that we've been managing through. There is more work ahead to scale the momentum of the initial store pilot to more doors to elevate our brands across all digital platforms, and to clean up excess product in the marketplace. We expect headwinds to continue but we are working to set the foundation for a return to growth in this important geography. APLA, Q2 revenue was down 4%. NIKE Direct declined 5% with NIKE Digital down 10%. And NIKE Stores up 1%. Wholesale was down 3%. EBIT declined 15% on a reported basis. APLA continues to deliver mixed results across countries. With positive results in Latin America more than offset by headwinds in Asia Pacific countries. During the quarter, the team leveraged promotions to make progress on pockets of excess inventory in the marketplace. In the quarter, running grew double digits, and apparel grew mid-single digits overall. Inventory grew double digits versus the prior year, with units up mid-single digits. Though we saw pockets of improvement year over year. Now I will turn to our third-quarter guidance. We continue to operate in a dynamic environment. Both for consumers our global business. And we remain focused on what we can control to make forward progress for the long-term health of our brands. Our outlook reflects our best assessment of these factors based on the data we have available to us today. We expect Q3 revenues to be down low single digits. With modest growth in North America as we see reduced liquidation activity versus prior quarters performance in Greater China and Converse similar to Q2, as well as a three-point benefit from foreign exchange. We expect Q3 gross margin to be down approximately 175 to 225 basis points. However, excluding the 315 basis point impact, of higher gross product costs related to new tariffs gross margin expansion would be positive in the third quarter. We expect Q3 SG and A dollars to be up low single digits due to higher demand creation and investments in our sport offense. We expect other expense net of interest income, to be an income of 0 to $10 million in the third quarter. Now I'll close with a few final thoughts. We are making progress in the areas we focused on first. And we are increasingly confident in our path forward. Led by momentum in North America. We are making the investments required to position our full portfolio for a recovery. And making decisions in service of the long-term health of our brands. Operationalizing the sport offense, elevating the marketplace, and rebuilding our key city teams are critical priorities to return to sustainable, profitable growth across all brands, all sports, and all geographies. Finally, as you heard from Elliott, we are focused on improving the profitability and operating efficiency of our business. And realigning costs while also investing to reignite growth. We look forward to sharing more in upcoming quarters. With that, I'll pass it back to Elliott.
Elliott Hill: Thank you, Matt. This quarter, the Los Angeles Dodgers reminded us what it takes to win at the highest level. Back-to-back World Series titles, something no team had done in twenty-five years. They gave us a game seven for the ages, They didn't take the lead until the eleventh inning. Down three o early every outside voice said, it's over. But they kept chipping away. Every setback became a lesson. They leaned on each other, They believed. When belief was hard. Manager Dave Roberts shared those insights with us at the opening of our new NIKE store in Portland. Just days after that win. He talked about what guided his decisions not just analytics, but trust. Feel, and sacrifice. That included putting in bench player Miggy Rojas who hit an improbable home run-in the ninth followed by a bases-loaded throw to the plate. In the bottom of the inning. With one more out to go, Robert swapped in Pajas who immediately made a leaping game-saving catch. Every decision mattered. And every player was ready when called upon. But the boldest move he made was managing Yoshinobu Yamamoto's innings our NIKE guy and World Series MVP. Who won his a historic three games in the series. The day after throwing nearly 100 pitches, he surprised everyone to close out game seven. That wasn't just effort. That was a statement. I'm leaving nothing on the table. It inspired the entire team. That's what greatness looks like. It's not about perfection. It's about perseverance. It's about sticking to the plan and performing when the pressure is highest. NIKE is in a similar moment. We're the industry leader. Expectations are high. And, yes, we face pressure and setbacks. But like the Dodgers, we're leaning on each other. Focused on the fundamentals, making the hard calls, and building for the long game. Because in the end, greatness isn't promised. It's earned. And we're ready to earn it again and again. Thank you now. And now Matt and I will take your questions.
Operator: We will now begin the question and answer session. To ask a question, press star then 1 on your telephone keypad. Kindly ask that you please limit your initial question to one. Our first question will come from the line of Matthew Boss with JPMorgan. Please go ahead.
Matthew Boss: Great. Thanks. So Elliott, you led both in the release and on the call. By citing the turnaround is in middle innings. Could you elaborate maybe where you've scored runs so far versus where you have opportunity remaining? Just your overall confidence today that you can win the game? And then, Matt, if you could just elaborate on the components of gross margin that you cited. I think you cited underlying expansion excluding tariffs. For the third quarter and just the progression that we should think about moving forward?
Elliott Hill: Great. Thank you, Matthew, and appreciate the question. And let me start by saying the path back to sustainable profitable growth is gonna go through our win now actions, and that will be and they will be accelerated by our sport offense. And would also say that I'm incredibly inspired by the way our teammates have responded to the actions in the new offense. The drivers of our growth right now for NIKE, they came through the win now which were our near-term actions around culture. Product, storytelling, the marketplace, and winning on the ground with consumers. But it's our sport offense is the accelerator of those actions. It's how we take athlete-centered innovation and it travels through every country channel and account to drive growth. And the sport offense is what's bringing the balance to our portfolio. We have a relentless flow of innovative product now coming across our three brands through multiple sports, performance and sportswear, men's, women's, and kids, and we pay it off across 190 countries. So we've had some meaningful progress, Matthew, over the last ninety days. NIKE brand, is growing. Sport is growing with running leading the effort there at up over 20% and taking market share. We're beginning to diversify the portfolio, rightsizing our classic As Matt said, we declined roughly $4 billion from its peak. North America grew 9%. Wholesale grew. Our order book for spring and summer is up. So we have a healthier base from which to grow profitable, sustainable growth. So in terms of middle innings, specifically, I think the best way to think about it is that we have our businesses the dimensions of our business Jordan. I think still has some room to dimensionalize beyond streetwear. Into things like Jordan basketball, Jordan training, etcetera. But I've seen some real good progress around the streetwear there. We're resetting the marketplace for Converse under new leadership. In terms of product, performance is growing but sportswear is still in the early stages of diversification. We've done a great job of right-sizing the franchises, but we still need to diversify that portfolio. Portfolio. Middle innings. And then from a geography, North America's leading. EMEA just transitioned to the sport offense. Followed by APLA, which, as Matt pointed out, had some mixed results. And then China has our longest road ahead. That's why we're sitting here saying we're in middle of innings. Great success in North America, work to do in China. And but all I would say here just to sort of close it out, Matthew, is while the middle innings, while we keep saying we're in the middle innings, I will say this. The win now actions and the sport offense is working and it will lead us back to profitable, sustainable growth.
Matt Friend: And, Matt, as it relates to margins, I would just say that you know, our business is still in a transition in the middle innings. And we are navigating through both transitory and structural headwinds across the portfolio. But as Elliott said, we've made meaningful progress through the win now actions, and you can really see that in the progress that we made in North America in Q2. North America's gross margins were down 330 basis points despite more than 500 basis points of a headwind to product cost due to the gross impact from the new tariffs. And so, that's a marketplace where we're furthest along in repositioning digital. We're back to growth in wholesale. We've made the most progress in cleaning up the marketplace. And so, as I look ahead to Q3, we guided, our margins to be down 175 to 225 basis points. That includes 315 basis points of higher product costs related to new tariffs. And so we expect expansion, excluding the impact of new tariffs, really reflecting the beginning of recovery of the transitory headwinds at the corporate level. And, you know, we continue to expect to see momentum building in North America given where the state of the marketplace is. We're watching promotional activity in Europe. But inventory in Europe is in a healthy place. And then as I mentioned, there's puts and takes across APLA. And we expect the trends in Greater China and Converse for Q3 to be relatively in line with what we saw in Q2. As we continue to take actions on both of those resets. And so I would say that overall, we're encouraged by the momentum and the progress that we're seeing. But we've still got some work to do.
Operator: Our next question will come from the line of Ike Boruchow with Wells Fargo. Please go ahead.
Ike Boruchow: Thanks. Good afternoon. Thanks for taking the question. I guess maybe for Elliott, maybe a similar type of question as Matt's, but you've mentioned the recovery won't be linear several times over the past year or in transition, and it totally makes sense. I guess, I'd like to know if you're able to share when you believe that maybe that caveat won't be needed anymore, and you'll be able to better kinda hold momentum, create better visibility for investors, on what's clearly becoming a reset base revenue and earnings. Thanks.
Elliott Hill: Yeah. Thanks, Ike. Here's the best way that I, you know, that I would should think about it is you know, each geo let's first start with the brands. Each of the brands are at different stages in terms of diversifying their product. Portfolio. We just got into the sport offense. In September, so we got these small cross-functional teams. We're getting them up and running. As fast as we can. Same thing's happening in the countries and key cities around the world. That's happening at different stages. And so that's we believe in the strategy, and we know that the path back to profitable and sustainable growth is through the win now action. We also believe in the sport offense and our ability to create beautiful products, and then pay it off in an integrated marketplace. We just have three brands in multiple sports. And four geos in 190 countries, and they're all operating at different timelines. And so that's the reason why we keep saying that, you know, we have different timelines, and it's just gonna take time. So I will just sort of point to the place we focus first, which is North America, and we're having great success there. So we're confident in our path forward.
Matt Friend: Yeah. And I just would add, Ike, that we said on North America that, you know, we're growing increasingly confident that we can sustain that momentum. I would also say that we've said that we believe we're gonna drive modest growth in wholesale this year. Starting to have more confidence in that dimensionality of the business. What you also heard on the call today was that, you know, we took some unplanned actions in Greater China. As we're navigating real-time through, some of the challenges that we see in some of the businesses that are under reset. And so, you know, we're gonna continue to take it ninety days at a time for now. To give ourselves the flexibility to make the right decision for the long-term health of our brands. And, you know, much of what we said today is consistent with what we've been talking about for the past couple quarters.
Operator: Our next question will come from the line of Bob Drbul with BTIG. Please go ahead.
Bob Drbul: Hi. Good afternoon. Just a could ask two questions. I think the first one is you know, on the commitment and sort of the focus on the return to double-digit, EBIT margin, you know, it's a big priority for you guys. Is there a timeline in which you could talk to when you think you'll get there? I think the second question is just, like, part of that, I think, is on China. Long road ahead, you know, Q2 revenue is similar Q3 similar to Q2. How deep a reset do you think is necessary in China? And is we near a bottom in revenue or EBIT declines in China? Thanks.
Elliott Hill: Okay. So, Bob, let me do this. You stuck in two questions on me, but here's what I'm gonna do. Let's take EBIT first, and then we'll take China because I don't wanna confuse the two. But let me first just say that, improving margins continues to be a top priority. And I said it before, and I'll continue to say it. We do see a path back to double-digit EBIT margins. Margins are under pressure for two reasons. First, the driver of our win is our win now actions. When that we've intentionally taken to clean up the marketplaces around the world. The second, is the impact of tariffs. Where we implement they which were implemented after we activated the WinNow actions. And we're seeing the benefits of us taking those actions. We've said it North America back to growth, running back to growth, wholesale up, the order book, and we have a healthier base for top-line growth moving forward. In addition to the top-line growth, we also have the opportunity to improve the efficiency and productivity and how we operate the business and we're gonna share more in the coming quarters. Matt, I don't know if you wanna add anything to that.
Matt Friend: I would just say something that's that will sound familiar. You know, we're clear on what the path back looks like. It starts with growth. And I think that, you know, the investments that we've made to drive the win now actions are paying through. You see it with a second quarter of top-line growth. And specifically the growth that North America was able to in the quarter, which is where we focused our demand creation investments and where we focused our investments in our commercial teams in order to be able to get back on the offense in the marketplace. Part of what's gonna drive expansion is recovery of our full-price mix. As we continue to manage the off-price, full-price mix in the marketplace. And, I point to North America where we've now cleaned the inventory in the marketplace, and we're starting to see margin expansion. Excluding the headwind of tariffs. Another big opportunity for us is to leverage the supply chain cost as we grow. And that's been a meaningful headwind over the last year as our business has reduced in size. And growth will help us with that. But there's also a lot of focus and attention on that as well. And then the last piece of it I would say is the work that we're doing to be in the way we're managing cost across the business. We've been investing in marketing, and we feel good about where we've leveled our brand marketing investment. We've locked in some of our most important team franchises for the long term, which strategically puts us in a great position in the world of sport. But we've been very focused on managing operating overhead. And we will continue to do that, and we look forward to sharing more about that in the upcoming quarters.
Elliott Hill: K. I'll jump back now, and I'll take let me take China. China continues to be one of the most powerful opportunities in sport. We're confident that, the win now actions and the sport offense will allow us to continue to invite 1.4 billion consumers into the world of sport fitness and the lifestyle sport. So we see China as a big opportunity. With that said, it's clear that we need to reset our approach to the China marketplace. And it's gonna start with structure. The geos are now reporting to me. Angela, who's our GM in Greater China, is now part of my SLT senior leadership team. And I look forward to working with her and the rest of our team more closely. Let me share a little bit of the diagnosis of where we are. And we believe and firmly believe and will always believe that our growth will come through sport, but the reality is we've become a lifestyle brand competing on price. In China. We also reduced the feed on the ground, people on the ground, and as you know, it's a monobrand marketplace with thousands and 5,000 doors. With the teams working the presentation of our product at retail. And we weren't making the investment in our store fleet so our stores aren't compelling. And as Matt mentioned, the cycle that it started to feed itself, soft demand leading to consistent promotions and then impacting profitability. And we did signal last quarter because of these structural differences that China would be on a different timeline. So we're taking action. We're cleaning up the marketplace of aged product. We're getting back to the basics of retail, consumer right assortments. Better storytelling, and elevated visual presentation, We're increasing investments in Shanghai and Beijing, resetting key doors, Matt referenced those in his prepared remarks. We're seeing early success. But I'll say this. It's not happening at the pace we like. So we have more to do. It's gonna take a fresh perspective, a new approach, and we will have to come through this with new capabilities as well. And we're working closely with our partners, Pausch and Top Sports to adapt our approach. But I'll just sort of end here. I've done this before. I have a deep history in the market. We've diagnosed the problem. And we will return NIKE to a beloved premium and innovative brand in China.
Operator: Our next question comes from the line of Aneesha Sherman with Bernstein. Please go ahead.
Aneesha Sherman: Elliott, at the start of 2025, you expressed your strong confidence in the pipeline for running. And you laid out this three by three framework that you discussed with partners. And we're now seeing strong acceptance in the market, and the business is growing over 20%. As you look across the other verticals, know you talked about new innovation across all of them, but do you see the phasing of the growth? And are there particular areas where you have that same level of conviction that you had in running a year ago and where you expect the business to ramp very quickly versus some that are a little slower? And then a follow-up on North America. Matt and Elliott, you both talked about the contribution of new distribution and same-store sales. On the wholesale growth. Are you happy with the mix of partners you have now? Or is the goal to continue to ramp up new distribution points into next fiscal year as well? Thank you.
Elliott Hill: Anisha, thanks for the questions. Let I'll start. Let me take the product portfolio piece first. Here's what I'd say. The teams are doing a really nice job of building a more diverse portfolio. You can start to see it in our numbers. We do have an unmatched portfolio with depth and dimension. Across performance and sportswear, men's, women's, kids, footwear, apparel, accessories, and up and down price points. And we believe that moving into these sport-obsessed teams through our sport offense, we're already starting to see the pipeline and the flow of innovation coming through across the three brands, NIKE, Jordan, and Converse. So we know when we focus on sport, we win. You called out running. Already. I will hit very quickly that we launched Romero premium. As part of that nine-box construct that you referenced this quarter. And had very good sell-through. And we also launched Structure 26 our dues in our stability silo, and we're launching structure plus next month. So we're continuing to fill that out. But it's not just about footwear. It's also about apparel. We have some really strong apparel coming through in running as well. So we will continue to grow and dimensionalize running as NIKE running as an opportunity. In terms of other business opportunities, global football, it's probably the furthest along in terms of their construct. We have three silos there. Footwear silos. The Mercurial, Tiempo, which we will launch in Q3, and then our Phantom, which had a really strong launch in Q1. So three silos, also connecting deeply with each of the consumers that play a different style of football. Apparel and footwear also dimensionalizes that opportunity. National team kits, World Cup, really strong read there. 40% up on the order book versus World Cup 2022. Training, twenty-four seven apparel, continuing to diversify the footwear. I see that coming. That's not yet hit. We feel good about what's coming. From training and footwear. SKIMS had a successful launch. We in EMEA and APLA next. Next quarter at basketball. We're dimensionalizing through women's. Sabrina, Asian, Asia, and now we have Caitlin coming. And our men's business continues to do well. Job sold through extremely well. And then we just launched the GT Future. And we had kids lining up for that shoe. So started dimensionalize beyond or dimensionalize the portfolio. And then I could just dive into innovation a bit more further out I think it's getting stronger every season. We're investing significantly in our NIKE sports research lab. And we're being intentional about connecting that R&D into our sport offense. And we announced a few big which I talked about product opportunity or product innovations, NIKE Mind, and then ArrowFit. So I feel good about the pipeline. And we see the response in our order book, which is up for the back half of the year.
Matt Friend: I'll jump in on marketplace, Elliott, and then you can add to it. Anisha, we feel good about the North America marketplace and, our partners. We've got great partnerships. We've been working incredibly close with our partners. As we're working to elevate the marketplace and reposition the NIKE brand in a segmented and differentiated way across accounts and, across the marketplace. Tom Petty and the team have just been crushing it. In terms of, leading us through our win now actions. And when I look at the order book for the back half of the year, the order book is very balanced. In terms of growth between new partners and existing partners. And so we feel great about the quality of the growth that we see in the back half across a balanced integrated marketplace. Our teams are always looking for opportunities because our marketplace strategy is a consumer-based strategy. We wanna be in the path of the consumer leveraging our partners across digital and physical owned and partnered. And so I wouldn't rule out the possibility of it, but I wouldn't say that that's what's needed in order for us to be able to sustain the momentum that we see in North America.
Elliott Hill: I was gonna add to it, but you've already embraced your new job. Right? I think the only thing that I would add to it, Anisha, because I think Matt did such a nice job. Is that, again, that Tom and the leadership team have done a really great job of just rightsizing the product, getting the market marketing going. And then I would say the thing that's the big difference is the setting three-year visions with each of and this is into the details, but it matters. Setting three-year vision by account on the consumers that we wanna serve by sport, and then bringing that back to one-year plans and then to seasonal plans. And that's how you get back to driving profitable sustainable growth between with the partners and again, the team's done a really nice job. So leading the way, and there in lies the opportunity in the other geos for us. We've gotta get the other geos keeping pace, and we're working hard to do just that.
Operator: Our next question will come from the line of Jonathan Komp with Baird. Please go ahead.
Jonathan Komp: Maybe one more on China. Do you think the North America experience where Elliott, we saw maybe two or three quarters of severe after you came in and accelerated the win now actions followed by now a return to growth and healthier conditions. Is that a reasonable timeline or playbook to think about China? And then just maybe bigger picture, if you are viewing some of these headwinds currently in resets, more as temporary. Maybe just expand on why not. Providing maybe two or three-year out targets or a little bit more specificity around you know, the timeline to get back to double-digit margins? Thank you.
Elliott Hill: Yeah. You know, in terms of China, you know, what I said earlier is we've taken actions. We're cleaning up. We feel good about having a handle on what has happened in China, and more importantly, what we must go do. And it's gonna take a fresh perspective and a new approach and ultimately, some new capabilities. And so and we're working with and through partners which, again, you know, that's where it gets tough to put an exact date on it, but we're confident in the path forward. And the team that we have in place and we're ready to get that business moved and turned as quickly as we possibly can.
Matt Friend: John, I'd just say on your timing question, you know, we're operating in a dynamic environment for both consumers and for a global business. And we're trying to turn around our business across three brands multiple sports, in four geographies. And as a result of that, you know, it's complicated what we're trying to do. We're encouraged by what we've been able to do in North America. And I think we've got a clear path of what we need to do across the other dimensions of our business. But we're reading and reacting every day. And it's important right now that we've got flexibility to be able to make the right decisions every week as we're trading the business in order to be able to establish the long-term health of our brands. And, and so, for the near term, gonna continue with this consistent practice that we've been doing. And, as our confidence grows, we will certainly share greater insight into how we're thinking about the longer term.
Operator: Our final question will come from the line of Simeon Siegel with Guggenheim Securities. Please go ahead.
Simeon Siegel: Thanks. Hey, guys. I hope you and your families have a very happy holiday and New Year season. So, Elliott, just to follow-up a little bit, the North America revenue growth it was just such a big number even before accounting for this large Classics reset. So can you just speak to what product is growing domestically so much better enough to accelerate that revenue growth? This much and just way more than offset the ongoing reset. And then, Matt, it feels like the growing wholesale penetration should help that operating overhead maybe structurally. So just curious if you could give us any thoughts where operating overhead goes. And then as you think about that opportunity, is the idea that you can take a portion of that and fund it back into demand creation, which has always been one of your key competitive advantages? Thanks, guys.
Elliott Hill: Yep. Simeon, thanks. And also wishing you and your family a happy holidays as well. In terms of North America growth, running obviously is a big piece, and it's not just growth. You know, sell-in, what we're encouraged by sell-through. We're actually having, taking market shares, so we're feeling good about that. Global football, soccer, we're seeing growth there. We're seeing growth in training. SKIMS as well would be another one I'd call out. And then basketball. The team's doing a really good job with basketball right now. And, again, I touched on a few, but, like, the GT Future this weekend was phenomenal. And while sportswear is not growing, they've done a really nice job of rightsizing sportswear and starting to diversify the portfolio across the look of running, which is primarily driving it. But we also have some footwear on the women's side in sportswear, Air Max Muse and the Superfly that's doing well. And then, of course, Jordan. You know, I've gotta call Jordan out, and when we speak about North America, they've done a really nice job and we had a great sell-through of the AJ4 Black Cat. We're getting back to telling stories. That by the way, that was our largest Black Friday ever that Black Cat was. A launch ever. And then just recently, it's not in this quarter, but the AJ11 Gamma, we had people lining up for that shoe. Again, which is fun to see. See kids lining up for sneakers again. So I think the team's done a really nice job of making certain that they're running a complete and balanced portfolio across the brands and sports.
Matt Friend: Simeon, I just add that the growth that we delivered in North America in Q2 was certainly strong. And if you look at our guidance for Q3, we said that we expect modest growth in North America, and you can really sort of connect the dots between how much liquidation fueled the growth in Q3 versus what's gonna be great comp, full-price growth as we get into the third quarter. And so, hopefully, that helps you connect the dots a little between the second quarter and the guidance for Q3. In terms of your question on cost leverage, you're absolutely correct. Growth creates leverage on the cost structure. Wholesale growth, in particular, creates meaningful growth on the cost structure, led by unit growth. And you see it not only in the supply chain costs, you're shipping pallets of product to partners versus shipping one zero one units to consumers. But you also will see it more broadly across our operating overhead. We're certainly focused on continuing to prioritize our investment in demand creation. I wouldn't leave that to believe that we've necessarily decided we're gonna go much higher than the 10% of revenue at this point in time because we feel like that gives us a good amount of investment to be able to continue to drive our brand forward. But, you know, if I'm prioritizing between the two, we certainly wanna have more flexible liquid demand creation to create big moments that impact consumers and to be able to activate that on the ground in key cities. And so we're gonna continue to tightly manage costs on the operating overhead side. As Elliott said, you know, we've got a number of things that we're looking at here. We look forward to sharing more, in the coming quarters.
Operator: And that will conclude our question and answer session and our call today. Thank you all for joining. You may now disconnect.